Operator: Good day, and thank you for standing by. Welcome to the Skyward's Specialty Insurance Group fourth quarter 2023 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Natalie Schoolcraft, Head of Investor Relations. Please go ahead.
Natalie Schoolcraft: Thank you, Shannon. Good morning, everyone, and welcome to our fourth quarter 2023 earnings conference call. Today, I am joined by our Chairman and Chief Executive Officer, Andrew Robinson, and Chief Financial Officer, Mark Haushill. We'll begin the call today with our prepared remarks, and then we will open the lines for questions. Our comments today may include forward-looking statements, which, by their nature, involve a number of risk factors and uncertainties, which may affect future financial performance. Such risk factors may cause actual results to differ materially from those contained in our projections or forward-looking statements. These types of factors are discussed in our press release as well as our 10-K that was previously filed with the Securities and Exchange Commission. Financial schedules containing reconciliations of certain non-GAAP measures, along with other supplemental financial information are included as part of our press release and available on our website, skywardinsurance.com, under the Investors section. With that, I will turn the call over to Andrew. Andrew?
Andrew Robinson: Thank you, Natalie. Good morning, everyone, and thank you for joining us. We closed out 2023 strong reporting adjusted operating income of $0.61 per diluted share. Gross written premiums grew 21% in the quarter and our combined ratio of 90.7% for the quarter included less than half a point of cat losses. While it was a quiet cat quarter for the industry, we continue to be at the low end of our peer group, even though over 25% of our business is property. Operationally, rate, retention and submission flow in the quarter continued to be strong. I will talk more about this later in the call. Altogether, the execution of our Rule Our Niche strategy continues to be excellent and our aim to deliver top quartile financial returns is visible in our growth, underwriting profitability, shareholder returns, and balance sheet strength. With that, I'll turn the call over to Mark to discuss our financial results in greater detail. Mark?
Mark Haushill: Thank you, Andrew. For the quarter, we reported net income of $29.3 million or $0.74 per diluted share compared to $20.4 million or $0.63 per diluted share for the same period a year ago. On an adjusted operating basis, we reported net income of $24.3 million or $0.61 per diluted share compared to $11.6 million or $0.36 per diluted share for the same period a year ago. In the quarter, gross written premiums grew by approximately 21% and our transactional E&S, captives, industry solutions, and professional lines divisions each grew over 20%. Only global property and agriculture did not grow in the quarter, which is expected given the seasonality of this business. We continue to see excellent opportunities for this division in 2024. Net written premiums grew by approximately 19% to $214 million in the quarter, compared to $180 million in the fourth quarter of 2022. Fourth quarter 2023 net premium retention was approximately 67% versus 68% in the fourth quarter 2022. Year to date, net premium retention was approximately 62% versus 59% a year ago. The fourth quarter is when we knew our -- when we renew our professional workers' compensation and excess reinsurance programs. All of these renewals were orderly, and we are satisfied with the terms and structures of these programs for 2024. Turning to our underwriting results. The fourth quarter combined ratio of 90.7% improved 1.7 points compared to the fourth quarter of 2022. A 2.3 point improvement in the current accident year non-cat loss ratio to 60.9% was principally driven by changing mix of business. During the quarter, catastrophe losses were minimal and accounted for less than 0.5 point on the combined ratio compared to the fourth quarter of 2022, which was impacted by 1.2 points of cat losses from Winter Storm Elliot. Excluding the deferred benefit from the LPT, there was no net impact from prior year development. We continue to maintain a conservative position with respect to our loss reserves as our actuarial central estimate at the end of 2023 indicated that we are in a more redundant position than at the end of 2022. The expense ratio increased slightly compared to the fourth quarter of 2022. We've talked in prior quarters regarding our business mix shift and investing in the business, so this is in line with our expectations in a target of a sub-30 expense ratio. Turning to our investment results. Net investment income was $14 million in the quarter, an increase of $8.7 million compared to the same period of 2022. Consistent with our investment strategy to deploy all free cash flow to core fixed income, in the fourth quarter, we put $118 million to work at 6.5%. The net investment income from our core fixed income portfolio almost doubled to $10.7 million from $5.9 million in the prior year quarter driven by an improving portfolio yield and a significant increase in the invested asset base. Our embedded yield was 4.5% at December 31, 2023, versus 3.7% a year ago. Our core fixed income portfolio is now over $1 billion, a $410 million increase from a year ago. Net investment income in the fourth quarter 2023 and 2022 were impacted by negative equity mark-to-market adjustments in our opportunistic fixed income portfolio. Just a reminder that last quarter we provided a redemption notice on $42 million of the opportunistic fixed income portfolio. Given the actions that we've already taken and inclusive of that notice of the $172 million in the opportunistic fixed income portfolio at December 31, 68% was in redemption. We anticipate reinvesting the proceeds from this part of the portfolio into our core fixed income portfolio. At December 31, we had approximately $270 million in short-term and money market investments resulting from strong operating cash flow of over $335 million. During the quarter, our yield on short-term investments continued to be north of 5%. We will continue to deploy this liquidity into our core fixed income portfolio. During the quarter, we executed a successful upsized follow-on offering of 5 million shares of common stock Skyward sold 2.2 million and Westaim sold approximately 2.8 million, reducing their ownership to approximately 17%. We continue to see strong interest from our existing and new shareholders, and we appreciate their support for our company and our strategy. In terms of how we look at 2024, we expect full year adjusted net income to grow over 30% to between $105 million and $110 million based on a combined ratio between 91% and 92% inclusive of 2 points to 2.5 points of cat. With that, I'll turn the call back over to Andrew for concluding remarks.
Andrew Robinson: Thank you, Mark. Our fourth quarter results capped off what was truly a defining year for Skyward Specialty. Operationally, we had another great quarter as we grew double digits in seven of our underwriting divisions. We continue to realize pure pricing increases in the high single digits, which is above our estimated loss cost trends. Our new business pricing was up again over our in-force book and retention too remain strong in the low 80s. All our strong indicators of the attractive underwriting margins that we are generating should continue. We also continue to see strong submission activity, which is up over 34% from the prior year, the largest year-over-year increase we have ever achieved. Our full year results are also notable, particularly in the context that it will lead-up to our IPO. During that period, we communicated core metrics and committed to building a company that consistently delivers top quartile performance. Our 2023 results demonstrated our progress towards this commitment. For the year, we delivered record growth of 28%, a combined ratio of 90.7% and adjusted operating income of $80.8 million, and we achieved a return on equity of 15.9% and grew fully diluted book value per share by 24% from $12.87 to $15.96. The year marked a significant underwriting achievement for us as we now have all eight of our underwriting divisions producing more than $100 million as compared to five at the end of 2022. Each division is now at a scale that can substantially contribute to the company's earnings. The three divisions that reached $100 million this year were surety, transactional E&S, and professional liability. And in just three years, we've grown these three businesses in aggregate from $44 million to $383 million, driven by significant investments in talent and technology. All three are generating outstanding returns and have added meaningfully to the diversification of our earnings. While each division is delivering at or above our minimum target returns on capital, we continue to capitalize on market opportunities to grow both top line and margins, and ensure that we shape our portfolio to those areas that offer the best risk-adjusted returns on capital. As such, we have ongoing investments in new underwriting areas, product adjacencies, teams, and of course, technology. As I reflect on the progress following what was a remarkable year for Skyward Specialty, I find myself energized and inspired by what we have accomplished in such a short period of time and also the possibilities for 2024 and beyond. And of course, we remain laser focused on executing our Rule Our Niche strategy in our progression towards generating top quartile returns at all parts of the market cycle. Finally, I'd like to thank my 510 colleagues for their excellent performance in 2023 and their commitment and drive to achieving our shared goals for 2024. I'd now like to turn the call back over to the operator to open up for Q&A. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Matthew Carletti with Citizens JMP. 
Matthew Carletti: Andrew, I was hoping I could kind of go 70,000 feet per second and if we rewind a year ago when you guys were out on the IPO roadshow, technology was a big theme about how you guys embrace it and use it to empower your underwriter's claims, so on and so forth. And I was hoping you might be able to kind of fast-forward a year and what has changed there? We hear a lot about AI and things like that. Is that something you're working on embracing? Just maybe a quick bring us up to speed just on how big a role that plays in your organization and how that might have changed over the past year?
Andrew Robinson: Yeah. Well, I think that probably -- we're moving at a very -- I would say, very, very rapid pace, right? So a lot of stuff's being done very quickly. And yeah, I would just say to you that nearly in every part of our business, next week we have our Board meeting and the first session is claims. And as part of our claims presentation, our data scientists are going to show how is it that we've been able to isolate on the claims that have the highest propensity for reserve developments so the managers can be watching those with greater intensity, separating out the 20% that account for the potential 80% of movement. And all that is kind of like the -- just turning the crank on the intelligence that we're trying to bring to the desktop of our -- in this case, our claims professionals as well as in our underwriters. And look, it's not one single thing. A great example right now is that we've completely flipped within auto the notion of using telematics. If there's a G-force event, we're not waiting for a first notice of loss to come in, we're outbound reaching out to the risk manager of the entity that had the street G-force event to determine whether there was an accident. And if so, then we can rapidly respond off the back of that. And that just fundamentally sort of turning things upside down. And so all those little angles, right, that I'm describing, these are just things that we -- we've got a long list of things that we can be doing. We're always trying to figure out what's the stuff that we can really make an impact in our business. And it's a big part of our DNA. And those two examples, there's equal number of examples on product, on underwriting, et cetera, et cetera.
Matthew Carletti: And then if I could just sneak another one in -- question for Mark. Mark, you mentioned that at year end 68% of the $172 million of Westaim funds are in redemption. Can you help us through the time line of kind of how long that usually take? Is that kind of a quarter or 90-day process or going to take longer for those funds to kind of be redeemed and reinvested?
Mark Haushill: Sure, Matt. No, it won't be a -- it won't be a quarter. I'm looking for about 30% of it to be redeemed in '24, time will tell. But I think that's what I'm looking for. 30%-ish in '24 and the rest of it in '25. We'll let you know, but it will take a little bit of time.
Andrew Robinson: And Matt, these are just -- what these are, we're just letting the loans mature, right? So they were reasonably well laddered, but it's not sort of 50-50, 50% in the first year, 50% in the second year. And the average duration was around two years, a little under two years.
Operator: Our next question comes from the line of Mark Hughes with Truist.
Mark Hughes: Mark, the guidance, the $105 million to $110 million, that's coming off of the 2023 base, it is at $81 million. Am I saying that properly?
Mark Haushill: Yeah. Yeah, sir. You are.
Mark Hughes: Okay. And that seems like a pretty strong result. Anything you can say in terms of the contribution from net investment income and the top line as you think about that guidance?
Mark Haushill: Do you want to tell?
Andrew Robinson: Yeah, Mark. This is Andrew. I think we'll leave it to you guys to put your models together, but with the guidance that Mark gave on combined ratio between 91%, 92%, the cat portion of that, you can -- you know what our gross to net is. I would -- I'll just say to you that that should be pretty consistent and so you can work your way through it by just taking our written premium in 2023, put your own premium for 2024 and kind of fill in the blanks. I will say that our plans -- if you're asking specifically about growth, we don't want to give guidance on growth. Our internal plans are for 15%. That's what we're planning for. That's based on the market conditions that we see and the investments that we've made. I would also say to you that it was our view, and we said this a number of times that a measure of us during a -- at least a -- what I would describe a functional market is that we should be able to double up the growth of our competitors. And again, our competitors are the guys who you can directly compare us against in sort of the -- that we compete against in the sort of the public company specialty space. But it also includes the primary insurance divisions of the diversified Bermudian guys and a handful of others. And we've been consistently, at 20% growth, more than doubled up the growth of that cohort this year. And we believe that kind of 15% growth is in line with sort of doubling up the growth of that cohort next year. That's our plans. We'll leave it to you guys to figure out whatever you want to put into your models, but that's what our plans call for.
Mark Hughes: Understood. And then, Mark, anything on the net investment income that's relevant here?
Mark Haushill: Mark, we just talked about a $1 billion fixed income portfolio with a yield of 4.5. You and I can do the math. I expect that to continue throughout '24. The other components can be a little bit more variable. So I'll leave it to you to model out the portfolio in terms of fixed income. With the rest of it, you just -- time will tell. But we've done well on opportunistic, but it has moved around a little bit, as you know, in '23.
Mark Hughes: You guys are asking me to do a lot of work.
Mark Haushill: I can help you with that. If you want to send us your models, we can fill out your models. How about that?
Mark Hughes: Yeah. I know.
Mark Haushill: I am joking about that.
Mark Hughes: The global property -- I hear what you're saying, it's not a seasonally strong quarter, but even on that basis, it was down a little bit year over year. You got a lot more meaningful growth earlier in the year. What -- anything going on in particular in the fourth quarter?
Andrew Robinson: I genuinely, Mark, will tell you, don't read it. It is -- it would give you a false negative if you look at that. It's a very, very light quarter. I think we let one account go. We also roll into that division and there's no premium written for agro in the fourth quarter. And so I honestly -- I can say with great confidence already knowing how we started the year that you don't let that sort of give you a false negative. But obviously, the property market is -- I think it's either at its peak or maybe past its peak. But I feel very good about where we are and both the profit as well the sort of growth opportunities that are available to us, given our discrete focus there.
Operator: Our next question comes from the line of Andrew Anderson with Jefferies.
Andrew Anderson: Looking at the GPW growth from professional lines and transactional E&S, can you help us think about the source of growth there and how much of that is retained net?
Andrew Robinson: Yeah. Well, without knowing sort of the context to your question, I can only assume that given everything that's being talked about in the D&O market and particularly the public D&O market, that probably underlies it a little bit, first off, everything is claims-made rules into our professional underwriting division. So our main drive line there is our miscellaneous professional, which, quite honestly, is relatively small face value, less than $1.5 million average limit. All types of classes included in that as well are things like employed lawyers, tech E&O, our excess lawyers offering. As you saw, we also did a media liability offering, including the professional portfolio as well is our architects and engineers book of business. It also does include management liability, which I'll come to in a second. And really, what's been a big growth line for us is in the healthcare professional market. For management liability, just to maybe get in front of our conversation, look, I feel great about our management liability book. But I think it's probably noteworthy that almost all of that today is private company. Less than a quarter of that is public. And of that, 70% is side A and 30% is side ABC. It probably has a 50% retention rate. We've been letting it go. And on the positive side on our management liability, like, we are ninja assassins going after very areas, right? So we've been very successful in areas like Web3, cannabis amongst others, which are true sort of specialty risks where we have some pretty darn legitimate expertise as compared to the rest of the market. So our professional growth and our portfolio is very atypical of maybe how it is you would compare us against others. And then lastly, to your question, because our average limit is so low, we are principally keeping it net. It's not entirely net, but it's principally.
Andrew Anderson: Very helpful. Thank you. And maybe thinking about casualty loss picks here, can you kind of give us some color on how accident years 16 to 19 are developing, both for business within the LPT and non LPT business?
Mark Haushill: Sure, Andrew. Good question. Look, so I'm glad you brought it up. We -- the industry is talking about the 19 in prior years. Good reminder, the LPT covered policy years 2017, which, of course, would include part of the 18 accident year. Before we went public, we took the LPT up to the co-participation limit. We're not seeing any surprises on inflation and/or loss costs. We've talked about that. Our rate increases have exceeded what we think our inflation and loss cost trends are. And Andrew, we haven't pulled that through in terms of our income statement. We've been conservative. Meaning, with loss picks, we're not taking full credit for rate increases. That answer your question.
Operator: Our next question comes from the line of Meyer Shields with Keefe, Bruyette, & Woods.
Meyer Shields: One quick question, I guess, on the catastrophe load, I know it's really, really light compared to most of your peers, but it's also -- at least the upper range is higher than you guys have produced in worse pricing environment. And I was wondering, is this intentionally a conservative outlook or is it something changing in terms of the overall mix of cat exposure?
Andrew Robinson: No, our cat -- what we use for our cat number is a combination of and 10-year history. So we're -- we feel like we're giving appropriate recognition to the cat that's in our book. And then it's our job to be able to sort of continue to successfully grow our property portfolio in a way that ensures that we're not -- we're not adding a lot of concentrated aggregate, which, when you're talking about 2 points or 2.5 points of cats in total, that's where you can really get yourself messed up as you have a lot of agro in a small area and some of that happens, it may be -- in maybe our team, but it might be convective storms or something else. So we're really good at our aggregation management. And yeah, I think that -- I think that what you'll find probably, given our book of business, if you looked over five years is we'll probably be in that 2 point and 2.5 point range, which is a pretty darn good outcome, given the amount of property that we have in our portfolio overall.
Meyer Shields: Okay. No, that's very helpful. You also mentioned property growth, does that include increasing exposure along with rate increases?
Andrew Robinson: Yeah. Well, look, there is obviously just growth in values, given inflation. There's growth in values related to business interruption and depending on what part of our portfolio, right, all of that's true in our global property. In our transactional E&S business, we might sublimit business interruption. We are likely doing actual cash value on the buildings. And so a lot of that -- you're not -- there's not a lot of exposure growth per se, given how we oftentimes structure those policies. But that's not to say that we're not seeing maybe the equivalent increase in price running through rate that theoretically should be assigned to exposure for those kinds of risks. Does that help?
Meyer Shields: It does Yes. And one last question, if I can. We've been seeing a lot of reserve issues verbal up around the industry, I'm wondering what that implies for maybe talent becoming available at competitors or some competitors if that --?
Andrew Robinson: That's a really good question. I don't know if I can see a correlation to it, to be honest. Look, not that this is going to sound a little bit flippant, but I would believe that we probably would not want the talent to be flushed out of an organization due to adverse development.
Meyer Shields: Okay. Great. Sometimes the reaction is a little bit imprecise, which is the -- what I was asking about, but I completely get what you're saying, I think.
Andrew Robinson: Yeah. Well, one thing I will say though, which has been the case for like 3.5 years here is we've been very targeted and intentional with our recruiting, right. So we tend to have a very good view of the people that we're recruiting, their track records, their underwriting [indiscernible], their distribution following, et cetera, et cetera. And so like, I wouldn't say that we're not recruiting from a general pool, we're recruiting in a quite intentional way. And media liability announcement, a few weeks back as a great example of that, that has been an area of focus for us for a long time and we were only targeting one of three teams. And so when we are able to move on one of those teams, we get so really fast.
Operator: Our next question comes from the line of Paul Newsome with Piper Sandler.
Paul Newsome: Certainly, [indiscernible] So a couple of questions. Thank you. A couple of questions that I think I want linked. One is, I want to ask your response to the concerns that the competitive environment has gotten a lot -- at least significantly worse over the last year and maybe even more recently? And I would like -- I was wondering, sort of the second question, if you can combine that with a conversation of what you think about what's happening from a weight versus inflation perspective because my sense is the fear is in these specialty lines? The competitive environment's just gotten to the point where the baseline is, you're sort of flat with respect to what you're getting from rate versus inflation and of course, the fears that somehow that continues to turn over. But what's your response to that and what do you see as you're looking to open your book and outside of your own book that may or may not line up with those years?
Andrew Robinson: Okay. Well, let me -- let me first -- I'll make a couple of industry observations. Not to sort of take too much of the time on that, but if you follow what's been going on, I will tell you that there's no consistent theme. You're hearing, in some instances, discussions on professional when the earnings season -- before the earnings season started, there was a very large announcement around -- that was driven a lot by professional. Then you're hearing -- you've been hearing the drumbeat of auto for a long time, now it's GL and , making its way to the next. And so there's no clear theme. I think really great companies of which there are some fantastic competitor set that we see. Everyone's been talking about rising loss costs here for a long time. It feels like a combination of the media and the analyst community, investment community said, well, now it's a good time to do -- to dump your kitchen sink in this quarter, and some companies did that. But I think a lot of the great companies who have been talking about that just the inflationary environment on liability have recognized that in both how it is that they're writing risk and how it is that they're booking their loss ratios. For our part, listen, nothing's ever perfect. But to Mark's point, in the third quarter of 2022, we move to take our LPT reserve position to the top of the . We've been incredibly conservative, not released a dollar of reserves since I've joined. And we've reported out very consistently about our pricing above loss cost trend, our new business pricing, and all of that to ensure that our balance sheet is strong and getting stronger period-over-period. People's -- other companies' decisions about what to do in this quarter, I -- that's just us -- to me, that's a little bit of a conundrum. It seemed like it was a kitchen sink for some, but the competitive environment certainly feels like it has consistently been a relatively rational environment. There are some crazies out there. The reason we're not doing anything in public , because the people who are writing that business, particularly a lot of the MGAs, are nuts. We see something similar on certain areas within auto. Occasionally, I ask my underwriters to send me examples of stupidity that are happening in the market where our competitor is just undercutting for no reason at all on what likely is a challenging kind of exposure. And I, of course, get a handful of those every week. And so you see kind of silly behavior. But in aggregate, it feels like the market this quarter, the market last quarter, the quarters before are relatively orderly and constructive, and that's showing through in our results, 34% increase in submissions in the quarter is absolutely astonishing. Now some of that's because of the talent that we brought with us. But that tells me that there's plenty of opportunity. The fact that we grew by 21% versus proportional to the submission flow also tells me that our underwriters are doing a fantastic job of leading through and picking out the things that really suit us at terms that suit us. So I -- when I look at this, I feel like it's been a kind of a rational, orderly market in aggregate. Some of the areas that have been talked about for some period of time and the actions that that folks have taken the fourth quarter, it feels like, I don't know, there was almost an escape hatch that was -- that occurred in the fourth quarter that some took advantage of. And we're just trying to be more consistent, more orderly about how it is that we're approaching things and holding onto our reserves and allowing ourselves to have a position where we can consistently see the seasoning and the redundancy play out and at that point, we would move.
Operator: Our next question comes from the line of Bill Carcache with Wolfe Research Securities.
Bill Carcache: Following up on your investment portfolio commentary, what's your latest thinking on the possibility of extending the duration of the core fixed income here ahead of the rate cutting cycle that most expect to begin in the coming months?
Mark Haushill: We're not -- right now, we're not looking to extend duration. Our duration is right at about 4 and has been for quite some time. Not real -- honestly, not real interested in extending it out just yet. We'll see how things play out, but not right now.
Bill Carcache: Understood. That's helpful. And separately, if I may, Andrew, at a high level, can you speak to how focused you are on the risk that some of the E&S business that you've written you could ultimately see move back to the admitted markets over time? How much exposure do you think you have there?
Andrew Robinson: It's hard to sort of partition it and it's also about what you believe. I was at an industry event last week, it's a big topic of conversation. What I can tell you is that within our transactional E&S unit and within our global property unit. And I'd say, in most parts of our professional unit, we're not writing what I would describe as kind of E&S light. I think that the stuff that we're seeing is very sticky into the E&S market. And so I feel good about that. But that said, the challenge around it is it's not just whether that is true E&S business, if there's less flown in an E&S marketplace, there's more competition for the business that's there. And so it does obviously have a second-order effect. But I would be -- I'd be surprised if it's more than a small percentage of our business that ultimately will end back up in the admitted market. We -- I would describe ourselves as a true, true E&S writer. We're looking -- when I -- I give you all examples. I try to write great example while we're being very thoughtful around where we were at management liability and we're doing only private company, you want to do a Web3 risk or you want to do a cannabis risk, well, that's not going into the standardized markets anytime that I can imagine. And it takes real expertise that tends to be the domain of a small number of people. And that's generally true across our business.
Operator: Our next question comes from the line of Gregory Peters with Raymond James.
Unidentified Analyst: Hey, good morning. This is Sid on for Gregg. When we look at your growth over the last two years, it looks like it's really been driven broad-based, but more specifically in global property, transactional E&S and professional lines. So just hoping you can comment on the outlook from here. Should we expect the growth to be more balanced across your book? Or do you still see some more attractive opportunities in certain underwriting divisions versus others?
Andrew Robinson: Yeah, there's no question about it that we will -- first off, we're big believers in micro cycles that -- while the market is orderly in aggregate, as I mentioned, there's certain areas where things just aren't rational, right? And no matter how good you are, you're going to have reduced opportunities to compete there. What I'd say to you is we certainly have taken advantage of the property market. You'd mentioned two areas. Surety has been another area that we've seen a lot of growth in. I feel that sort of our plans for this year are relatively widespread across our business and maybe less spikes in a particular area or particular areas. But inevitably, I think one of the strong features of this organization is that we're really good at when we see a market opportunity to kind of reallocate our resources and jump on top of it. And so I suspect that while the best laid plans are sensible, it's probably not how the year's going to play out for us. And I'm sure that will reflect back on 2024 with an error to where we had better growth than we expected and we'll have a couple of areas where we have worse growth because the marketplace changed on us. I tend to find that our execution is not the reason that we're not -- like we're always -- we've always been very good at execution. So it tends to be more marketplace driven. But as I said, I think it's more balanced and more widespread, sort of is our working assumption for this year.
Operator: Our next question comes from the line of Michael Zaremski with BMO.
Unidentified Analyst: This is Jack on for Michael. My question's on reinsurance ceding levels. I know there were some gross to net premium lumpiness last quarter. I guess longer term, is the current 35% plus ceding level the right percentage to think about? Would you expect those levels to fall over time?
Andrew Robinson: Yes, I think that for -- this is Andrew. For 2023, I believe that our gross to net number was -- I'm not looking at -- 62.7, I believe, in aggregate for the quarter -- for the year, excuse me. I could be wrong in that, but right around that number. And I think our general expectations are that that's a good number rolling into next year, original planning number. I think as you do -- given our outlook for 2024, when you just run the numbers and you kind of apportion underwriting income and investment income, I think you'll sort of tie back to that kind of low 60s gross to net.
Unidentified Analyst: And then I guess thinking about 2024, can you talk about how business -- do you expect business mix to impact the loss ratio? I know that in 2023, a shift toward property put downward momentum on your attritional loss ratio. Just wondering about any color for 2024.
Andrew Robinson: Yes. So implied in our view is a relatively consistent loss ratio underlying. You just sort of back out what we've said about expenses and then take out cat and so forth, you'll find that we're broadly in line. And from a mix perspective, we have -- we've definitely been shortening up our portfolio. So this -- at this point at the end of 2022, I believe that 49% of our business or thereabouts was what we call short duration, less than two year liabilities. This year, it's 53%. I think that as we look forward to 2024, it might go up a little bit more towards shorter tail liabilities. But that really -- there's not really much going on here in terms of mix that's driving our underlying accident year. And there's also not much going on in terms of our recognition of rate over loss cost trend going in there as well. We're planning -- our working assumptions are for something that's relatively consistent.
Operator: I would now like to hand the conference back over to Natalie Schoolcraft for closing remarks.
Natalie Schoolcraft: Thank you, everyone, for your questions, for participating in our conference call, and for your continued interest in and support of Skyward Specialty. I'm available after the call to answer any additional questions that you may have. We look forward to speaking with you again on our first quarter earnings call. Thank you and have a wonderful day.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.